Infosys Technologies Limited Q2 RESULTS EARNINGS CALL October 11, 2005 :
Moderator: If you would like to withdraw your question, press star then the number 2 on your telephone keypad. Thank you. Sandeep you may begin your conference.
Sandeep : I would now like to hand over to Mr. Nilekani, President and CEO of Infosys.
Nandan Nilekani: This quarter also has been a record quarter in terms of our hiring of employees. We have had 8,026 gross number of employees and on a net basis, we have hired 6,390 empl oyees and we expect for the year to hire about 20,200 gross employees of which we have already hired about 12,500 in the first half of the year. So clearly, we are growing very rapidly. This quarte r our revenue was $524 million which is up 38.3% from the same quarter last year. Our Earnings Per Share has gone up to 51 cents from 36 cents in the corresponding quarter last fiscal. This quarter we added 34 new cli ents. And based on the net addition of 6,390 employees, our employee strength as of September 30th is 46,196. Now, our outlook is as follows. For the quarter ending December 31st, we expect revenues between $556 million and $558 million, which is a year to year growth of between 31.4% to 31.9%. And for the year ending March 06, we expect revenues of $2.14 billion which as I mentioned earlier, is a year to year growth of 34.4%. On the earnings side, we expect consolidated earnings for ADS to be 53 cents for the quarter ending December 31st and we expect that’s a year to year growth of 26% and between $2. 04 to $2.05 for the year ending March 31, 2006 which is a growth rate of about 30%. So as you can see, our focus in the last few quarters on bu ilding a scalable engine, our focus on adding new services, our focus on account management and broadening our client relationship, our focus on building a brand, all these things have yielded us dividends which have enabled us to perform as we have done. This gives, this is to give you an overview and I now request my colleague Kris Gopalakrishnan, to give you some more details of our performance this quarter. Kris?
Kris : We added 34 new clients this quarter. Across the board, our relationships with our clients have become better. $191 million relationship, corresponding number last quarter was $172 million. 76 $5 million clients, corresponding number last quarter was 73. If I look at the top 10 clients, they constitute 30.6% of revenues. The top 10 clients have grown, that is as a block it has grown. Some have grown faster than others of course. Repeat business continues to be very strong - 96.5%. Accounts receivable is 59 days, last quarter also it was also 59 days. So, it is on track. Amongst industry verticals, this quarter banking and financial services have increased in the last LTM basis, it is 26.7% of our revenues vs 24.5% on Septem ber 30, 2004. Similarly Retail, Services segment have shown improvement. If we look at the services this quarter, development as well as package implementation has grown. But again, looking at the last 12 months, some of the stronger services have been testing, our Independent Validation, Business Process Management, that’s the Progeon related services, System Integration and Infrastructure Management Services. North America has grown to 65.4% of revenues so it has shown some improvement. Europe has gone to 23.3% of revenues over the last twelve months versus 21.2% on September 30, 2004. So, our investment in Europe continues to yield results. As you know, we announced t he ABN Amro deal this quarter and the key point here is that the deal was split and we were bidding for the ap plication development and maintenance piece and the Indian companies of course got that piece and Infosys is one of the two vendors selected for the application maintenance piece. It’s the single largest order for us and the reason we feel that it is important is that one, they came out talked about the deal. Second, the bill was structured as per our vi sion of how such large bills should to be structured in the future. And we hope that this can have a positive effect on some of the new deals which will come in the future. I talked about the top 10 clients. The sequential growth in the top 10 clients is 6.9%, the top 25 clients is 9.2%. So we have seen growth in the top 10 clients. Nandan talked about 8,026 employees being added of which 1,166 employees have prior experience in other organizations. Our attrition is 10%. This is comparable to last quarter. It has gone up slightly. Last quarter was 9.8%. For this quarter it is 10%. There is no change in our capital expenditure. We had projected an expenditure of $260 million to $290 million for the fiscal. In the first half $127 million is spent and there is no change in the capex. We have approximately 3. 2 million square feet under constr uction which can house about 20,000 employees. And Nandan also talked about our total target for this year being 20,200 employees. So, we have investments in physical infrastructure. We have investm ent in employees and there is momentum behind us in terms of the key verticals, the key markets in which we operate etc. Finacle has done well, Progeon has done well, Consulting is on track and some of the new services are yielding results. Over to you Mohan
Mohandas Pai: Overall net income has grown to 26.3% after minority interest. Overall we do feel that the situation as regards pricing has been stable with an upward bias. We do not see anymore wage pressure for t he rest of the year. The rupee has depreciated against the dollar after the close of the quarter. For the entire quarter, the average rupee dollar rate was not very much different. And we had no ne gatives on exchange differences during this quarter. So, on an overall basis, we are quite comfortable. As for the guidance for the third quarter, we have lesser number of working days onsite and offshore - three days less on site and four days less offshore. And this is the major difference for the growth differential between the third quarter and the second quarter. Our guidance for the balance of the year is based upon th e situation what we see today. Ther e are no systemic issues about the guidance for the fourth quarter. As we come closer to t he fourth quarter we shall have a better picture. Our cash balances have gone up to $865 million in this quarter. Accounts receivables is at 59 days and all parameters of the business are very, very encouraging. Thank you folks and over to questions now.
Operator: Your first question comes from Julio Quinteros with Goldman Sachs.
Julio Quinteros:
Mohandas Pai:
Julio Quinteros:
Mohandas Pai:
Julio Quinteros:
Mohandas Pai:
Julio Quinteros:
Mohandas Pai:
Julio Quinteros:
Operator:
Moshe Katri :
Mohandas Pai:
Moshe Katri :
Mohandas Pai:
Moshe Katri :
Mohandas Pai:
Moshe Katri :
Kris: In vertical industries, really the story is banking and financi al services after declining little bit, is picking up steam. And that is good news. Retail, yes retail is one of the areas in which we had invested earlier than all other verticals in terms of building solutions so that’s starting to yield some results. Services as a vertical industry, is also starting to yield re sults in terms of picking up steam. About two years back, November 2003, we had created industry specific bus iness units and now they’re starting to make sure I’m creating solutions, differentiating them and starting to become independent engines of growth. Geographically we have been investing in Europe. Europe is today 23.3% of revenues. Though sequentially there’s a small decline but in the Last Twelve Months basis, Eu rope has shown growth and that continues to be a positive signal. The ABN deal itself is a good signal for Eur ope because the best advertisement we can have is a client talking about a deal in the market. And in that sense that’s good for us.
Moshe Katri :
Operator:
Joseph Vafi :
Kris :
Joseph Vafi :
Kris :
Joseph Vafi :
Shibu :
Joseph Vafi :
Shibu :
Joseph Vafi :
Mohandas Pai:
Joseph Vafi :
Akshaya Bhargava:
Joseph Vafi :
Akshaya Bhargava:
Operator:
Trip Chowdhry :
Kris :
Trip Chowdhry:
Kris :
Trip Chowdhry:
Nandan :
Trip Chowdhry:
Kris :
Trip Chowdhry:
Operator:
David Grossman:
Kris :
David Grossman:
Kris:
David Grossman:
Kris :
David Grossman:
Mohandas Pai:
David Grossman:
Mohandas Pai:
David Grossman:
Mohandas Pai:
David Grossman:
Mohandas Pai:
David Grossman:
Operator:
Ashish Thadhani:
Mohandas Pai:
Ashish Thadhani:
Mohandas Pai:
Ashish Thadhani:
Mohandas Pai:
Ashish Thadhani:
Operator:
Anthony Miller:
Mohandas Pai:
Anthony Miller:
Mohandas Pai:
Anthony Miller:
Mohandas Pai:
Anthony Miller:
Mohandas Pai:
Operator:
Divya:
Mohandas Pai:
Divya:
Mohandas Pai:
Divya :
Kris:
Divya :
Operator:
Aditya Somani :
Shibu :
Aditya Somani:
Operator:
Nandan : We do believe that this quarter has been excellent. Couple of things it demonstrates. One is that our investment in building new geographies, investment in building new vertic als, our investment in building new service offerings over the last three to four years, is all coming together. The second is that we have demonstrated very clearly that we have scalability in our model. The very fact that we hired 8,026 people in one quarter shows how scalable we are. And here again, our investments in building our Global Education Center, our training, our recruitment, all that is proving to be very, very productive. We also believe that we will continue to invest on the one side in improving our scalability, in reducing our friction to doing business, in making sure that our people spend the time on customer issues and actually getting our team to work in a borderless way so that the customer gets the full benefit of Infosys capabilities and knowledge capital. At the same time, we think that our story, our point of vi ew that the Global Delivery Model is the model of tomorrow is becoming increasingly accepted. We think companies ac ross the world are going to try to become leaner and meaner and flatter in the years to come. And we think that Infosys as one of the prime proponents of this model, is in a position to advise our customers on how to get ther e. And therefore, I think we have the instruments at our disposal to provide the kind of transfo rmation that our customers are expectin g. And therefore, we think that as long as we execute well, we have plenty of room to grow our business. So with that, I’d like to thank everybody for being on this call. I’d like to thank everybody for listening to the answers. A lot of the material that we have talked about is on our website and you can also talk to our Investor Relations team if required, for any further clarification. Thank you very much.
Operator: